Operator: Good morning, and welcome to the Cadence Bank Fourth Quarter 2022 Webcast and Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Will Fisackerly, Director of Finance. Please go ahead.
Will Fisackerly: Good morning. Thank you for joining the Cadence Bank fourth quarter 2022 earnings conference call. We have our executive management team here with us this morning, Dan, Paul, Chris, Valerie and Hank. Our speakers will be referring to prepared slides during the discussion. You can find the slides by going to our Investor Relations page at ir.cadencebank.com where you'll find them on the link to our webcast or you can view them at the exhibit to the 8-K that we filed yesterday afternoon. These slides are also in the Presentations section of our Investor Relations website. I would remind you that the presentation, along with our earnings release, contain our customary disclosures around forward-looking statements and any non-GAAP metrics that may be discussed. These disclosures regarding forward-looking statements contained in those documents apply to our presentation today. And now I'll turn to Dan Rollins for his opening comments.
James Rollins: [technical difficulty] marked a year of tremendous change, progress and success for our company, highlighted by the fourth quarter completion of our rebranding across our footprint and the related systems integration. The results of our business development efforts will be discussed this morning. We'll validate the unity, optimism and excitement shared by our teammates, as we are now operating under one name and brand. As we look at our annual and fourth quarter 2022 financial results, the story lines and key highlights are very similar for both the quarter and the full year. So I'd like to make a few comments about both of those. We reported adjusted net income for the fourth quarter of $142.9 million or $0.78 per common share, which resulted in annual adjusted net income of $542 million or $2.94 per common share. Adjusted PPNR was $195.5 million or 1.62% of average assets fourth quarter. We continue to benefit from a strong pipeline, which is reflected in net loan growth of $1.1 billion or 14% annualized for the fourth quarter and $3.5 billion or 13% for the full year. Our fourth quarter results were again very diverse from a product and geographic standpoint. We had six of the seven regions within our Company report net growth for the quarter and our corporate banking team had another outstanding quarter. We also continue to see favorable results from many of our specialized industry verticals, along with our mortgage team. Total deposits were flat for the fourth quarter and down $860 million or 2.2% for the year. While we, like many of our peers, have seen a decline in average account balances and a shift towards interest bearing products, our bankers remain focused on preserving and growing core deposit relationships. We continue to evaluate and tweak our product offerings and our posted rate structure, in an effort to ensure our relationship managers have the tools necessary to compete in this highly competitive environment. The rate environment combined with the balance sheet dynamics that we just discussed, resulted in continued improvement in our net interest margin. Our fourth quarter margin improved 5 basis points linked quarter and our margin for the full year was 3.15% up almost 20 basis points compared to the prior year. Valerie will discuss the margin components in just a few more minutes. Credit quality continues to be a positive story. While we had a -- while our -- let me start that again. Our fourth quarter provision of $6 million was necessary to support continued loan growth. We reported net recoveries for both the fourth quarter and the full year. We have now reported net recoveries six out of the previous seven quarters. Our nonperforming assets also declined 8% for the quarter and 38% for the full year and now stand at 24 basis points on total assets at year-end, which is very low by any standard. We will continue to monitor credit quality very closely as we move into 2023. But as of today, we simply aren't seeing any areas of significant weakness. We continue to improve our operating efficiency. Our fourth quarter adjusted efficiency ratio of 58.7% marks our fifth consecutive quarter of improvement in this metric. As we move into 2023, while there are some headwinds that Valerie will mention in a moment, continuing this improvement is a key strategic focus for our team. Finally, I'd like to briefly touch on capital. We repurchased 6.1 million shares of our 2022 share repurchase authorization during the first half of 2022. Recently, our Board approved an authorization of 10 million shares for 2023. While we currently remain on pause with our repurchase activity, we are pleased to have this authorization in our toolkit and we'll continue to monitor both, the economic environment as well as our capital position as we move forward this year. Valerie, I'll give it to you.
Valerie Toalson: Thanks, Dan. Dan spoke to the key highlights that are applicable to both our quarterly and annual results that you'll see on Slide 4. Very consistent loan growth, continued margin expansion, stable credit quality and steady progress in the adjusted metrics. Focusing on the fourth quarter of 2022, the results include quarterly improvement in our net interest revenue due to loan growth and increasing margin and improvement in adjusted expenses due to year-end employee benefit adjustments. These were partially offset by seasonal declines in insurance revenue and change in mortgage servicing rights valuation and the bonus provision for credit losses. Fourth quarter adjusted PPNR was $195.5 million, up from $5.7 million from the prior quarter. Referencing Slides 5 and 6. We reported net interest income of $359 million for the fourth quarter, an increase of $4 million compared to the third quarter of 2022. Our net interest margin was 3.33% for the fourth quarter, up 5 basis points from the linked quarter. Not surprisingly, the pace of improvement in the margins slowed this quarter as our deposit costs accelerated in response to continued rate increases and strong deposit competition. Total cost of deposits increased to 76 basis points from 35 basis points in the third quarter. Despite this increase, we continue to have a favorable deposit beta, thanks to our large mix of community bank deposits. Our total deposit beta was 28% for the fourth quarter and 17% cycle to date. This compares to the fourth quarter's loan beta, excluding accretion of 49% and 39% cycle to date. Our yield on net loans excluding accretion was 5.41% for the fourth quarter, up 71 basis points from the prior quarter. Our balance sheet remains asset sensitive, with approximately 48% of our loan portfolio or $14.8 billion, repricing in the next 12 months, of which $12.6 billion of that reprices within the next three months. At a higher level, as laid out on Slide 7, 72% of our loan book is floating or has variable rate terms with 28% fixed rate. Non-interest revenue highlighted on Slides 8 and 17, was $114.9 million, which represents a decline of $9.6 million for the quarter. The decline is driven primarily by a $7.1 million unfavorable swing in the MSR market valuation adjustment as well as a $5.2 million decline in insurance commission revenue related to seasonality in the policy renewal cycle. While the insurance decline is in line with typical fourth quarter seasonal results, on a year-over-year basis, total insurance commission revenue actually increased 6.3% from the fourth quarter of 2021. In addition to these two items, we saw a decline in deposit service charges, primarily as a result of an increase in the earnings credit rate on corporate analysis accounts and an increase in BOLI income which is attributable to timing of death benefits. Moving on to expenses, which are highlighted on Slides 9 and 10, total adjusted non-interest expense was $279.3 million for the fourth quarter, a decline of $10.9 million compared to the third quarter. The decline was driven primarily by a decline in compensation expense, largely related to employee benefits, year-end adjustments, including lower accruals on insurance costs and the annual assessment of other employee benefit obligations that have been impacted by higher discount rate. The decline in other miscellaneous expense included a number of small variances including lower franchise taxes, legal and other items. You may recall that last quarter we guided toward a $290 million base level of adjusted non-interest expenses, which was in-line with the fourth quarter results, factoring out the year-end adjustments made to employee benefits. Regarding non-routine adjusted items, merger and merger related costs increased to $53 million this quarter, as we completed the franchise rebranding and the core system conversion. A large component of these costs were in advertising and public information, which reflects the rebranding of our franchise under the Cadence Bank name and new logo, including nearly 400 offices. We also incurred a $6.1 million pension settlement expense due to the elevated number of retirements in the fourth quarter and branch closing expense of $2.3 million, associated with a 17 branches that were closed or consolidated in the fourth quarter. Dan spoke to the loan and deposit activity included on Slides 11 and 12. Slide 13 provides credit quality highlights that further demonstrate the points Dan made earlier with steady declines in nonperforming assets throughout the year. Classified assets increased somewhat during the quarter, but declined 15% as compared to the end of 2021. As mentioned earlier, the $6 million provision for the quarter supports continued growth in loans and unfunded commitments that we've experienced. The ACL coverage finished the year at 1.45% of loans. Capital, as shown on Slide 14, continues to be stable across the board with the quarter's earnings absorbing the growth in risk-weighted assets. As we look forward into 2023, from a loan growth perspective, we anticipate a high single-digit growth rate with investment security cash flows continuing to support loan growth. We expect that approximately $3.3 billion in securities cash flows and maturities in 2023, including $1.5 billion of low-yielding treasuries, maturing in the fourth quarter of this year. Deposits continue to be more difficult to predict with increasing rates and aggressive competition. However, we do anticipate our deposit costs will continue to increase and currently expect to reach our cumulative total deposit beta of 28% to 30% towards the middle of this year. Net interest margin will be in part dependent on our deposit levels and pricing, but we do anticipate margins to be higher in the fourth quarter of this year than in the '22 fourth quarter. This expectation is due to the asset mix shift out of lower yielding securities into higher yielding loans, combined with the ongoing asset repricing in our variable loan books. Slide 7 in the slide deck provides a nice visual of the repricing timing of our portfolios. We also anticipate steady growth in our fee businesses, except for mortgage and analysis service charges, which we expect to continue to be negatively impacted by the higher rate environment. Regarding non-interest expenses, we currently anticipate a low single-digit growth rate on an annualized basis, compared to the $290 million quarterly run rate guidance we previously provided for the fourth quarter of 2022. This factors in the anticipated benefits from our merger integration, but also the number of headwinds, including increased FDIC insurance assessments, higher pension expense, increase CPI levels in many vendor or technology agreements and continued wage pressure. Importantly, we expect merger and merger-related expenses to be materially behind us, although we are continuing to aim to reach efficiencies beyond our initial targets. Our 2022 net charge-offs, which were actually a small net recovery for the year, were clearly very low. So we do expect those to increase to a more normalized level in 2023. However, as Dan noted earlier, while cautious, we're just not seeing areas of significant weakness currently. We have a lot to be pleased with looking back at the results and accomplishments of 2022, but I think we would all agree the excitement is in the opportunity that lies ahead. Operator, we would like to open the call to questions.
Operator: [Operator Instructions] Today's first question comes from Catherine Mealor with KBW. Please go ahead.
Catherine Mealor: Thanks, good morning.
James Rollins: Hi, good morning, Catherine, appreciate everybody's patience with our technical problems this morning.
Catherine Mealor: No. All good, all good. Valerie gave a lot of great guidance at the end of your comments. So, thank you for all that. And I wanted to start my questions with maybe on expenses. So it seems like, you're saying take the $290 million from this quarter and then grow that at a low single-digit pace. So, is that net of cost savings? Or should we grow at that pace and then allow the rest of the cost savings to offset it from there? Just want to make sure, I'm clear on that guidance.
Valerie Toalson: That's a fully baked-in number, realizing the savings that we've got baked-in, as well as the work that's continuing to be done and the expense headwinds that we, and I believe our peers are also experiencing as we look into 2023.
Catherine Mealor: Okay. And then that $9 million, that was from some of the employee and insurance changes from this quarter, how do we think about that in the run rate for next year? Is that coming, as I was kind of give you as like a one-time event from this quarter? Is that partly in the run rate as we pull that forward to next year?
James Rollins: No. That's a one-time event.
Valerie Toalson: Yes. The big chunk of that is really related to the annual assessment of employee benefit obligations, and the fact that a higher discount rate because of interest rate changes, allowed us to take a credit on that. So that's not something that happens every quarter.
Catherine Mealor: Great. Okay. Okay. And then maybe -- just on the margin. It doesn't feel like you're saying that this is peak margin, but I found it interesting that your guide is fourth quarter to fourth quarter is going to be higher. So does that imply that there may be some fluctuations between now and then, just depending on how deposit costs flow, but ultimately, by the time we get to the end of next year, we'll have a higher NIM. Is that a fair way to read that?
Valerie Toalson: I think you've got it well. As you said, it's -- the deposits are the bigger key there. But assuming no surprises there, we actually -- we could have some modest improvement, where things kind of stabilize or soften but we are anticipating a better margin as we look to the end of the year, really related to all the repricing and the mix out of the securities book into the loan book and as we've talked about a number of times, the variable rate loans that's continued to reprice as long as we're at a higher rate environment.
James Rollins: The way you said I think, Catherine, is correct. I think, we see an upward trajectory on our margin, but maybe not linear. We could bounce around here, but we're moving in the upward direction.
Catherine Mealor: Great. Okay. Thank you so much.
Operator: The next question comes from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hi, good morning, guys. Thanks for taking my questions. Just wanted to start on your commentary around the fee businesses. Obviously, understand mortgage and service charges under pressures given the ECR, but can you just kind of lay out expectations for some of the other businesses, like, I know insurance obviously benefiting from a relatively hard pricing market. And I guess, maybe I'm a little bit of -- on the trust in wealth side, maybe that's a little bit harder to see, but it sounds like you're kind of guiding or at least the outlook is to see kind of year-over-year progression. Can you just kind of walk through some thoughts there by business line? And maybe how we should think about them? Thanks.
James Rollins: Yes, I think you've covered some of that, Michael, good to hear from you. Mortgage is clearly flying into headwinds. I would expect that 1Q is not going to be a good quarter for mortgage hopefully, 2Q, 3Q, during normal home selling season will come back a little bit on that piece. We're portfolioing more of those loans to the secondary market for ARMs is not working today if that market comes back on, and then we can fix that. That means we're not collecting that gain on sale for the loans that we're booking onto the balance sheet the ARMs. So, mortgage is clearly under pressure. I think you spot on insurance. Insurance looks to be in good shape today. I think we continue to win business. Our insurance team is growing customer base. Our insurance team is growing their fee income and the hard insurance market will help us. So we expect to see good progress on the insurance side in 2023. The wealth management team is all similar to anybody else in wealth management, dependent upon asset values. So, depending upon what asset values do, this year will drive that revenue. We're hoping that the market will move up and that, that we'll see benefit there. And then, I think you hit the ACR on treasury management. We do believe that we'll see some pressure because of rising ACR on treasury management. Other than that, though, I think our bank fees, we've already given back the pieces of the puzzle we needed to give back. And so, we continue to see stability there. Our card servicing fees, we continue to see increasing volume on cards. We continue to see increasing average ticket, or average transaction on cards. So the card income continues to be moving up. Valerie, did I missed anything?
Valerie Toalson: I think you covered. That's the big ones.
Michael Rose: It sounds like the big ones. Thanks for the color. Maybe just a question on capital and the repurchase. It sounded like, if I got this right from the prepared comments that maybe buybacks wouldn't be a near-term thing, maybe like capital, build a little bit here is kind of the operational efficiencies from the merger continue to play out. Is that the way to think about it, that maybe near term purchases, not on the forefront, but maybe, think about it more usage in the back half?
James Rollins: Yes, I think that's a fair way, Michael, to look. I think, we want to be prepared, if the market backs up on us. We certainly have that in our tool kit. We can take advantage of the market if it backs up. But we're currently watching where we are. We're watching the economy. They are still unknowns in front of us and we want to make sure that we're fully prepared.
Michael Rose: Okay. And then maybe just finally for me, just on the margin, back to the margin color. I assume you-- Valerie, you're talking about the core margin. I believe last quarter you kind of talked about accretion income for the year, somewhere in the $22 million to $23 million range. It's obviously higher this quarter. I just wanted to clarify that and then get any sort of updated expectations for what you'd expect for scheduled accretion for this year? Thanks.
Valerie Toalson: Yes, no, that's exactly right. The core margin is really the direction that we're headed there. On the accretion, you're spot on, on the scheduled accretion numbers for next year, close to $23 million and that is a headwind for this year. We had $47 million nearly for the year of 2022. It was a little bit higher than fourth quarter because of some paydowns and so forth, but no change to the expected scheduled accretion for 2023.
Michael Rose: All right, thanks for taking my questions.
James Rollins: Perfect.
Operator: The next question comes from Manan Gosalia with Morgan Stanley. Please go ahead.
Manan Gosalia: Hi, good morning.
James Rollins: Good morning.
Manan Gosalia: I wanted a follow-up on the comment on deposit betas. I think you noted 20% to 30% cumulative deposit betas by the middle of this year. Do you expect that to be the peak or just given your other comments on the elevated level of competition that you and others in the industry are seeing right now, should that deposit beta ramp-up as we go towards the end of the year?
Valerie Toalson: Yes. No, actually what we're modeling is an increase from where we are today, which is a 17% cumulative to kind of our peak deposit beta mid-year of next year, which would be in that 28% to 30% level on a total deposit basis.
Manan Gosalia: Got it. And then, as you think about the mix of funding, to the extent that loan growth exceeds the securities runoff between the quarters and the year, could we assume that you would plug that with FHLB or the other funding levers that you might want to pull, such as growing the CD book?
James Rollins: Yes, I think that -- we've got lots of securities running off in 2023. So most of the loan growth in 2023 can be funded, if not all, with securities portfolio and the move up of the loan to deposit ratio. So moving our loan to deposit ratio north of 75% is a goal of ours. We would like to see our loan to deposit ratio higher in a more normal environment. So, I think from a funding standpoint, that's just a temporary spot. So, we're currently playing in all of the spaces that you just mentioned. I think we've got our team moving to grow deposits. Some of our customers are moving CDs around, some people, because of rates have taken CDs. So I think the answer is all of the above, is where we would be funding from.
Manan Gosalia: Got it. And other CDs more shorter-term dated? Or are you putting on a little bit of duration there?
James Rollins: Yes, CD is such a small piece of our book. It's mostly short. We're not offering any special spending long-term money.
Manan Gosalia: Got it. Very helpful, thank you.
James Rollins: Thank you.
Operator: The next question comes from Brandon King with Truist. Please go ahead.
Brandon King: Hi, good morning.
James Rollins: Good morning, Brandon.
Brandon King: Hi. So I'm curious, with putting all the pieces to guidance together, are you still sticking with kind of 54% efficiency ratio target for next year?
James Rollins: Yes, that's a great question. I think we've got a lot of headwinds on that. Valerie?
Valerie Toalson: Yes. So what we're anticipating is gradual progress, just like what we saw in 2022 gradual progress on that efficiency ratio improvement and expect to continue that. There are a few headwinds as Dan mentioned, some of the FDIC expense, somebody other things that we talked about. That's -- it may be early 2024 before we get to that number, but I think, we'll be at -- we'll be making gradual improvements and certainly working towards that number pretty aggressively.
James Rollins: That helps you?
Brandon King: Okay. Yes, yes. Okay. And then on loan growth, high single-digits, this seems to be a bit above peers. I'm just curious, what gives you confidence in that number and kind of what you're seeing as far as demand -- you know, community platform versus corporate?
James Rollins: So, I'm not sure I'm hearing the whole question. You're talking about loan growth being above peers and what was the second part of that?
Brandon King: Yes, yes. So, loan growth, kind of, what gives you confidence in that high-single digit growth figure for next year? And then if you could provide some commentary around community versus the corporate lending, kind of the demand outlook there?
James Rollins: Yes, okay. So opportunities within the corporate lending and confidence around the high single-digit loan growth, I think is what you're asking about. I think our footprint is going to give loan growth. So the footprint that we're sitting in, is continuing to perform well. As I've said, we're not seeing really any weakness to speak up today, Chris and Hank are both in the room here and can talk about -- all you want to talk about on loan growth. Which one of you guys wants to go.
Hank Holmes: Chris, I'll let you go first and I'll fill it.
Chris Bagley: Yes, Dan started it, the 400 branch footprint, commercial teams with deep relationships, with diverse products and services. We're in resilient growth markets as well as what I would call more stable and lower risk markets as well. So there's just a lot of leverage that we can pull. And when we look at pipelines, we're seeing still active, and we still see looking at least out the next few months, we feel like we've got a good pipeline and activities. So we're comfortable with some others loan growth targets. Hank?
Hank Holmes: So, I agree 100% with Chris, I would categorize it as not few hot but not too cold and we're positive on 2023. We do have capacity in our corporate teams, which is a nice thing to have when you're headed into some NIMs -- or having -- to have some loan growth, which we're going to do. And lot of it depends on the macro environment and what that gives us to the second half of the year. But right now, I would tell you that I feel good and positive about the guidance we're giving that Valerie mentioned earlier.
Brandon King: Thanks for taking my questions.
James Rollins: Thank you. Appreciate it, Brandon.
Operator: The next question comes from Brett Rabatin with Hovde Group. Please go ahead.
James Rollins: Hi, Brett.
Brett Rabatin: Hi, good morning. Thanks for taking the questions. Wanted to talk about credit for a second, and obviously, spectacular numbers, thinking about the reserve. It's basically been flat the past three quarters from a dollar perspective and just wanted to hear some thoughts on provisioning going forward and just thinking about the black box of CECL, as well as the classified assets are really low, but they did tick up a little bit in the fourth quarter. Any anything that was prevalent in that increase and anything that you guys are watching from a credit perspective? Thanks.
James Rollins: As I've said, I don't think we're seeing anything today that's got any alarm bells ringing on it. So I think the move around in classified assets is just normal move in, move out balance and I'll let the guys who cover that further. When we look at CECL, I think our model continues to work for us. I think what you saw this quarter was provisioning for growth. So we're not seeing weaknesses in the portfolio. So we're provisioning for growth. You guys want to touch on.
Chris Bagley: Yes. Back to the classified loans, normal cycle, normal loan grading, our average -- the legacy BXS from a view, we've got an average -- larger average loan size now, so you're going to see some larger loans moving out. Nothing in there that was systematic or a trend that we would note. Normal loan grading, normal working with customers and I think from there it's a model. It's what's the model that are going to project for us the economic forecasts and what our own loan grading systems do. Hank, any other color?
Hank Holmes: I think, you said it well, so.
Brett Rabatin: Okay. And then anything, maybe not for your bank but just anything that you would point out as something that you kind of view is potentially problematic for the industry, whether it's office or some other segment of lending that you would say, hi, this is something that we're keeping a close eye on?
James Rollins: We're just not seeing that, Brett. So, when we look at what's happening today, we're like everybody else. We're watching carefully. We're paying attention. We think we're making good credit decisions. The credit team is asking lots of questions. But across the footprint that we're serving, the economies continue to move along. We're still seeing some stress on labor in some places. Some places are still not able to find labor. People are moving up their labor cost. But we're still moving.
Brett Rabatin: The economy shows resilience. Thanks for all color, Dan.
James Rollins: Thanks. Appreciate your time.
Operator: The next question is from Matt Olney with Stephens. Please go ahead.
James Rollins: Hi, Matt.
Operator: Oh, pardon me. This is a follow-up from Catherine Mealor with KBW.
Catherine Mealor: I didn't mean to jump in front of that. My follow-up is just back to the efficiency ratio question that Brandon asked. Valerie, can you just clarify what number efficiency ratio you were referring to? Is that the -- I think you originally put out slides when the deal came together, I think it was a 54% efficiency ratio. Is that a number that you think is achievable by '24? Or do you think it's higher than that, just given some expense headwinds, you talked about?
James Rollins: I think that's the number we're talking about. We're still targeting getting there.
Catherine Mealor: Right, okay. But just maybe not until sometime in '24?
James Rollins: Yes, I think, that things that have happened in the last little bit, has delayed that trip -- that trip to get there a little bit, but we're going to get there.
Valerie Toalson: Absolutely.
Catherine Mealor: Okay, thanks. Just want to clarify that. Thanks.
Operator: Okay. The next question is actually from Matt Olney with Stephens. Please go ahead.
Matt Olney: Hi guys, how are you? Good morning.
James Rollins: Good morning, Matt. Catherine owes you for that.
Matt Olney: No worries at all. I think most of my questions have been answered. Just wanted to circle back on the insurance segment. I know insurance has been an important part of the strategy going back several years even in the BancorpSouth days. I guess there is some speculation in the marketplace about some of your larger bank peers that may not be married to their insurance segment longer term. I'm curious about the strategy of Cadence in the insurance segment. Just, I'm curious how important this insurance segment is to the longer-term strategy of the Bank?
James Rollins: Yes, I think we're no dear than anybody else. We're watching what's happening in the market, but we like insurance. We've always liked the insurance. We continue to grow insurance. In the last quarter, we added another insurance agency that we were able to add into our team. So it's clearly a big part of what we're doing every day. But the market is always doing something different and so you pay attention to what's happening in the market.
Matt Olney: Got it. Okay. All my other questions have been addressed. Thanks, guys.
James Rollins: Hi, thanks, Matt. Appreciate it.
Operator: [Operator Instructions] The next question comes from Jon Arfstrom with RBC Capital Markets. Please go ahead.
Jon Arfstrom: Hi, good morning, everyone.
James Rollins: Hi, Jon.
Jon Arfstrom: Just a couple of follow-ups. Maybe obvious, but the high single-digit growth rate you're assuming period end. We use period end as a base. Is that right?
Valerie Toalson: Yes. Those are period end guidance.
James Rollins: Yes. For loans, yes.
Jon Arfstrom: Yes. Okay, good. Valerie, you talked about just some -- easing some securities, cash flow from securities to fund loan growth. How do you feel about earning asset growth and balance sheet growth for the year? Help us understand the mix change.
Valerie Toalson: Yes. It's -- again, it just all goes back to deposits, and what we saw the industry see this year. You're not going to grow much in earning assets deposits. That we're able to grow deposits so forth and that would allow for some earning asset growth, otherwise, it -- that just simply the variable.
James Rollins: Yes, nobody wants to go backwards. And I think when we look at 2022, we're going to see that the industry as a whole lost deposits. We lost some too. Hopefully that trend is turning and so that's really the question here, if we can grow deposits, then you'll see earning assets growth.
Jon Arfstrom: Okay. Yes, the earnings look kind of the opposite of what we wrote 18 months ago, right, on balance sheet movements.
James Rollins: Yes.
Jon Arfstrom: Yes. What would you say, like an average new interest bearing rate that you're paying right now? And are you seeing that pressure ease at all kind of a second derivative of deposit pricing pressure?
Valerie Toalson: It's an easy answer. There's no ease on the competition on deposits at all.
Chris Bagley: Yes. The competition is fierce out there. Most people are competing out the yield curve. You see in the short-term as competition is in the short term CDs base and money market space and that's I think, why you're seeing the move out of non-interest bearing accounts. But if you have an average number of both that the CDs were booked, on the specials we're running in the 4s, and specials on money markets, some exception pricing there in the high 3s.
Valerie Toalson: On an average - 
James Rollins: Yes, go ahead, Valerie.
Valerie Toalson: On the average -- the average for the quarter, the new interest bearing came on at about 2.57%.
Jon Arfstrom: Okay. And then any difference between -- on the pressures between the community bank footprint and that 76% you flagged in the other parts of the business -- everywhere. Yes.
Chris Bagley: It is intense everywhere, not from my perspective. Somewhat -- in some ways the Canadian bank gives that local competition maybe more fierce than the Metropolitan competition. It just depends.
Jon Arfstrom: Okay. I'll wrap it up. I could go on further on Slide 7, but I like it. It's good. But I guess, Dan, an easy one for you, maybe a softball, but rebranding feedback, is there anything that hasn't gone while you'd be generally been satisfied with it?
James Rollins: 5,000 and some odd funds changed in a short period of time. Lots of activity went on to that. We've been really pleased with the way that was executed. I think that, we could have had a whole lot of issues. But we spent some time getting ready for that. The full 18 months were slower in getting everything done. But the benefit of waiting, the benefit of putting it all together at one time, the benefit of getting it all behind us in the fourth quarter, we're really excited about where we are.
Jon Arfstrom: Okay, all right, thanks. Thanks for the time.
James Rollins: Thank you, Jon. Appreciate very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Rollins for any closing remarks.
James Rollins: Thanks, again, everyone, for your questions and your participation today. As I mentioned a little bit a minute ago, 2022 marked a year of tremendous change, progress and success for our company. In closing, I just want to take one more opportunity to brag on our team. It took an incredible amount of effort and focus for everyone in our company to achieve what we accomplished in 2022. And as we continue into 2023, we are committed to continuing to grow our business, improve our operating performance and enhance the value created for our teammates, shareholders and communities that we serve. Thanks, again, everybody, for your time today. We look forward to speaking to you again soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.